Company Representatives: Doug Bouquard - Chief Executive Officer Bob Foley - Chief Financial Officer Deborah Ginsberg - Vice President, Secretary, General Counsel
Operator: Greetings, and welcome to the TPG RE Finance Trust, Fourth Quarter 2022 Earnings Conference Call. At this time all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Ginsberg, Vice President, Secretary and General Counsel. Thank you, Deborah. You may begin.
Deborah Ginsberg: Good morning, and welcome to TPG Real Estate Finance Trust conference call for the fourth quarter and full year 2022. I'm joined today by Doug Bouquard, Chief Executive Officer and Bob Foley, Chief Financial Officer. Doug and Bob will share some comments about the quarter and then we'll open up the call for questions. Yesterday evening we filed our Form 10-K and issued a press release and earnings supplemental with a presentation of our operating results, all of which are available on our website in the Investor Relations section. I'd like to remind everyone that today's call may include forward-looking statements, which are uncertain and outside of the company's control. Actual results may differ materially. For a discussion of some of the risks that could affect results, please see the Risk Factors section of our Form 10-K. We do not undertake any duty to update these statements and we’ll also refer to certain non-GAAP measures on this call, and for reconciliations you should refer to the press release and 10-K. With that, I will turn the call over to Doug Bouquard, Chief Executive Officer of TPG Real Estate Finance Trust.
Doug Bouquard: Thank you, Deborah, I appreciate it. Good morning and thank you all for joining the call today. The real-estate market continues to adjust to a myriad of challenges and opportunities. On one hand, tighter financial conditions, reduced liquidity and greater dispersion of risk appetite across property types and markets have put pressure on values. But on the other hand, a strong labor market and resilient economy continues to support a positive outlook on the long term fundamental real-estate valuation.  Fortunately for TRTX, we identified and began to prepare for tightening financial conditions during the first half of 2022 as we bolstered our liquidity profile and increased our selectivity for new investments. For TRTX this past quarter was no different and that we continue to selectively invest with a cautious eye on liquidity, while proactively risk managing our existing portfolio.  In 2022, TRTX originated or acquired $1.7 billion of new loans, approximately 80% of which were multifamily, industrial or self-storage. Three sectors we continue to target given their long term fundamental tailwinds. In addition, we’ve been very disciplined on the nature of our financing. 65% of our 2022 investments were financed on a non-mark-to-market basis.  Furthermore, over the past year we strategically increased our multifamily and industrial exposure by 62%, while reducing our office exposure by over 32%, which is the greatest year-over-year reduction of office exposure amongst our peers. In the aggregate, loan principal payments for the year 2022 equaled $1.5 billion, and our repayments attributable to our office loans comprised 44% of that number.  While we continue to acknowledge the dislocation of lending markets and pressure on value within certain sectors and geographies, particularly office properties, you can see it from our quarter-over-quarter seasonal reserve reduction of approximately $11 million and stable portfolio risk ratings, that we have anticipated these challenges and are actively working to address their impact on our portfolio.  We continue to work collaboratively with our borrowers to maximize shareholder value. Our strategy for resolution remains the same, whether we modify, extend or foreclose, our focus is to maximize shareholder value in the most efficient manner possible given the facts and circumstances presented.  From a liquidity perspective, we continue to risk manage from a position of strength. Our year-end liquidity exceeded $590 million, and for new investments we had substantial liquidity via four main sources. Number one, the A-note market; number two, existing CRE CLO and reinvested capacity in both FL4 and FL5, potentially new public and privacy CRE CLO transactions and our existing secured credit facility.  Over the past year, as a testament to the diversity in our funding sources, we have executed on each of the four aforementioned financing options, all while maintaining an industry leading debt cost of funds of 203 basis points over the applicable benchmark rate across our liability structure.  Our teams investing and asset management experience benefits from two distinct attributes. Number one, a leadership group with an average of 25 plus years of experience, investing across multiple economic cycles, combined with two full integration into the broader TPG real estate ecosystem, with an oversight of $20 billion of AUM across multiple investment strategies.  Given the disruption in real estate markets being aligned with the leading global alternative asset management firm, combined with tremendous information flow from the broad reaching, real estate equity and credit platform, allows TRTX to prudently navigate the current market.  I'm incredibly excited about the prospects for TRTX. We have been front footed in acknowledging the stress in real-estate markets, while positioning ourselves to benefit from an attractive lending environment. This proactive approach will serve our shareholders well as the current cycle evolves.  Thank you. Bob, please go ahead. 
Bob Foley : Thanks, Doug. Good morning, everyone, and thanks for joining us on this morning's call, especially those of you with school age children trying to enjoy the school holiday week.  First, our operating results. GAAP net income for the fourth quarter was $32.6 million or $0.42 per diluted share, reflecting the benefit of rising benchmark rates on net interest margin, which increased $4.7 million or 16% quarter-over-quarter. Higher benchmark rates and a balance sheet that is 100% rate sensitive, are strong tailwinds for net interest margin and net earnings. Distributable earnings was $23.3 million or $0.30 per share, a quarter-over-quarter increase of 53% due to net interest margin expansion and a decline in loan write-offs in comparison to the prior quarter. Credit performance will be the key determinant of distributable earnings in future quarters.  Our dividend coverage was 1.25x for the quarter and 1.17x for the year. Book value per share increased quarter-over-quarter by $0.20 to $14.48 per share on the strength of a CECL reversal of approximately $11 million, and distributable earnings that outstripped by $0.06 per share, our dividend per share of $0.24. Our CECL reserve declined by approximately $11 million. At quarter end our reserve rate was 395 basis points as compared to 390 basis points for the prior quarter.  We continue to thoughtfully utilize the TPG ecosystem, our ample liquidity, our 74% non-mark-to-market financing base and our highly experienced investment to capital markets and asset management teams, to support opportunistic lending and preemptive asset management to drive value creation and earnings for our shareholders.  Regarding liquidity, we have $590.9 million of it at year end, including $231.7 million of cash, $297.2 million of CLO reinvestment cash, plus undrawn capacity under our credit facilities. Two of our three CLO’s are open for reinvestment; FL4 through March of 2023 and FL5 through February of 2024. These term, non-mark-to-market, non-recourse liabilities, with a weighted average credit spread of 180 basis points are immensely valuable to us and supporting new loan investments, optimizing our current financing arrangements and sustaining or boosting investment level ROE.  $67.4 million of our year end CLO reinvestment cash has since been utilized across seven different investments. Unfunded commitments under existing loans were $426.1 million or only 7.8% of our total loan commitments, which is comparable to prior quarters. This low level reflects our historical discipline in targeting bridge and light transitional loans with quick to complete business plans and small proportions of deferred fundings.  Regarding credit, rising rates continue to pose a headwind to all property types. A muted pace of return to office remains a sustained challenge to the office sector. Nonetheless, our weighted average risk rating remained unchanged quarter-over-quarter at 3.2 and the dispersion of ratings across our portfolio was largely unchanged. Measured by amortized cost, 75% of our loans were rated three or better, 20% were fours and 5% were fives.  Our CECL reserve declined by approximately $11 million or 5%, due primarily to $336.5 million of par repayments, plus the conversion to REO of one office loan, all of which enabled reserve releases.  Our general reserve decreased by $23.2 million due to par loan repayments in the general reserve population and the reclassification of one office loan to the specific reserve. This was offset by the model based impact of higher short and long term interest rates, worsening macro-economic factors and a challenging operating evaluation environment for commercial real estate.  Our specific reserve covering four loans increased by $12.2 million due to macro and asset specific factors, and a one loan change in the composition of the specific reserve loan population. The office loan converted to REO in early October was by mid-November sold to an investor at a price roughly equal to its carrying value. We recovered 95% of our UPB as compared to our carrying value net of CECL at the prior quarter end of roughly 85% of UPB.  We provided to the purchaser $59 million of first mortgage financing on market terms, and that loan is term financed on a non-mark-to-market basis. Our new borrower invested $29.3 million of fresh cash equity to acquire the property. Our asset management team delivered an excellent result here after multiple quarters of thoughtful work.  Rate caps are another popular topic. We require our borrowers to purchase rate caps, and at quarter end roughly 90% of our loans measured by loan commitment amount at borrower owned rate caps with a weighted average strike rate of 2.71%. By comparison, current terms SOFR is 4.56%.  Regarding the loan portfolio for the quarter, we received repayments in full of $294.4 million and a near record $1.3 billion of full repayments for the year, of which 38% were office loans. That excludes partial repayments of $209.5 million, of which $176.7 related to office loans. As Doug mentioned, year-over-year our office exposure declined by 32% to 29% from 42% of our portfolio.  We do believe higher rates and challenging real estate fundamentals are likely to slow repayment speeds in 202. Our $1.7 billion of 2022 investment activity reflects our view since mid-2022, but the lending market is quite attractive, offering lower advance rates – excuse me, wider spreads and lower attachment points. For 2023 our investment plans remains opportunistic. We intend to match our investment volumes to loan repayments.  We remain laser focused on low cost and non-mark to market non-recourse term funding. At year end 73.5% of our secured financing was non-mark-to-market. For the full year we arranged $1.8 billion of non-mark-to-market term debt capital, including $1.1 billion of CLO funding via our 5th CLO, $726.3 million of non-CLO term financing, which was a mix of note-on-note syndicated senior loans or A-note financing, and included several new counterparties.  We continue to collaborate with TPGs capital markets franchise to mine existing and new capital relationships to form term non-mark-to-market accretive financing. We also added during the year a $250 secured revolving credit facility, which we later upsized to $290 million. Our leverage remains modest. Our total debt to equity ratio was 3.97:1 down from 3.13:1 at the previous quarter end, and we remain in compliance with all of our financial covenants.  With that, we’ll open the floor to questions. Operator? 
Operator: Thank you. [Operator Instructions]. We have our first question from the line of Stephen Laws with Raymond James. Please go ahead. 
Stephen Laws: Yeah hi! Good morning. Doug, maybe start with the four loans that have a specific reserve. Can you can you give us an idea of your current thoughts around resolution, timeline for those and maybe any additional details I think was mentioned in the prepared remarks. There was one new office loan that had a reserve move from general to specific. So some color around that loan as well please. 
Doug Bouquard: Absolutely! So right now we're carefully evaluating the most effective path towards resolution. That may take the form of a loan sale, that could take the form of foreclosing and owning that asset. But generally speaking, we're going to be thoughtful in terms of maximizing recovery and given our collective view on the fact that the office market should be getting better anytime soon, we expect to be resolving it as quickly as we can while maximizing shareholder value. 
Stephen Laws: Great. And you know, maybe shifting to run right EPS Bob. As I think about kind of where we move, you know I think in the Q or in the K it’s a little over $1 million of prepayment incoming Q4. Portfolio is down a touch, but I think in your prepared remarks you mentioned kind of flat outlook as originations match repayments. You know maybe some benefit from increasing rates, but can you maybe give us any other considerations we need to think about as we look at a run rate EPS before any write off or realized losses occur. 
Bob Foley: Well Stephen, I think you've hit the principle topics. MG&A is pretty level. Clearly higher rates and rising rates are helpful to NIM and we would expect a little more expansion there. I think the volume of one-timers that you referenced is, you know I would say unusual. We typically don't have a lot of them. We had one loan for the quarter distended, that we paid a little sooner than we expected, but that was only $1.4 million. So I think that what we envision is a pretty stable NIM outlook. The question will be credit, which you alluded to in your comments. 
Stephen Laws: Great! Well, I appreciate the comments this morning and congrats on a nice quarter. Obviously, the market was impressed with the results, as was I. Thanks for your time. 
Doug Bouquard: Thanks, Stephen. 
Bob Foley: Thanks, Stephen. I appreciate it. 
Operator: Thank you. We’ll take the next question from the line of Richard Shane with JP Morgan. Please go ahead. 
Richard Shane: Thanks everybody for taking the questions. Hey Bob, can you talk a little bit about the mechanics of the general CECL reserve? I know that a lot of its data driven by historical information. I think everybody uses TREP, but would love to think about some of the inputs that could change. Because that is, I assume fairly backward looking and think about some of the macro inputs and overlays you put on top of that, and how we could think about that evolving over the rest of the year. 
Bob Foley: Sure. Thanks for the question Rick. It’s a good one. I would start by reminding all of us that CECL which came into effect a little more than three years ago at the beginning of 2020, is intended to cause registrants to record reserves that reflect the expected loss over the life of each loan. So it's really a prospective view of the world, not an historical one.  So while historical data is useful and informative and you're right, we subscribe to a data service as do many of our public peers that provides historical loss data on more than 125,000 loans extending back to the late 1990s. The real issue or the real important inputs are things like loan-to-value and that service coverage. The amount of equity that a borrower has in a loan and then a number of macro inputs, including short and long term rates, GDP growth, unemployment and so on.  So a company's forward view as expressed through their forecasting tool, whether it's a loss given default model or they use the warm method, which some companies do, is in my view a bigger driver of establishing the general reserve than our historical dataset, which is perhaps one of the reasons why – you know in the old days it was about building reserves, and it was more historical.  I think what you're seeing in the new CECL order is that certainly we – I can't speak for others. We're focused on what do we think is going to happen in the future, and our objective is to fairly state a CECL reserve based on that, which is I think one of the reasons why you saw our CECL reserve frankly be larger, sooner than some of our peers.  Thanks for your question. 
Richard Shane: Yes, thanks. And just over thread a little bit further. As you know, we have a pretty broad coverage universe, and we're dealing with a number of companies who have adopted CECL reserving. And in consumer finance land the key macro number that everybody focuses on is unemployment, and typically we'll get updates on companies’ unemployment outlooks and how that impacts their diesel reserve. Is there something that we should be asking for updates on that is this sort of focused as unemployment for you or how should we think about what changes you've made to your economic outlook this quarter.
Bob Foley: Well, I think that for consumer financial oriented companies, employment is clearly an important driver. I think for commercial real estate lenders, we're probably as a sector more focused on things like GDP growth and rates. I mean, rates are an important driver of short term issues like interest coverage and clearly have an influence over time on cap rates, which influence refinancing or sales exits for any lender.  So in my view, you know those are probably the factors that people should focus on more clearly and that information is available to all of us on this call every day on Bloomberg. 
Richard Shane: Got it, okay terrific! Thanks, Bob. 
Bob Foley: Thanks, Rick. 
Doug Bouquard: Thanks, Rick. 
Operator: Thank you. We’ll take the next question from the line of Steve Delaney with JMP Securities. Please go ahead. 
Steve Delaney: Thanks. Well hello Doug and Bob, and the congrats on a strong report, and as Stephen Laws mentioned, nice to see the market reward the shares this morning, so congrats on that. 
Doug Bouquard: Thank you. 
Steve Delaney: You know the portfolio walk that you provide us on page nine is very helpful. And the drop, about $300 million or so in the actually closer to $400 million, you mentioned the office loan that went to REO and was subsequently sold. Was that a big piece of that shrinkage if you will in the loan portfolio in the fourth quarter. 
Bob Foley: Well, from a purely numerical standpoint, it reflected about $89 million of commitment and what we would call about $81 million of net exposure. So it was meaningful, but not the whole story. There were other important repayments, and Doug can elaborate more on that REO conversion and sale in particular. But there were several other sizable loans that we paid, including the largest loan I think that we paid in the fourth quarter was $130 million four rated hotel loan in Southern California. But I think Dough better equipped to address you know the drivers behind that migration. 
Steve Delaney: Yes, And Dough the reason… [Cross Talk] Yeah go ahead. 
Doug Bouquard: … Apart from. 
Steve Delaney: I said, the reason I asked was your initial comments, when I saw the decline I was wondering if there's this sort of a managed reduction in the portfolio just to - for risk management and building liquidity. But then you said, I took your comments Doug to say, pretty much going forward we should expect that repayments come in and that there are attractive opportunities to put that money back to work. So I came in thinking that maybe there's a shrink strategy, and now I'm hearing more clearly that's a more of a stability approach. 
Doug Bouquard: No, it's definitely more of a stability approach. I think we're just trying to strike the right balance of one foot on gas, one foot on break in terms of originations and repayments. And look, I think that we've been very front footed. As I had mentioned in my remarks, I mean we've had the largest year-over-year reduction in terms of office exposure relative to all of our peers, so I think we've been really front footed, one.  And then two, I think you know from a liquidity perspective, we are investing from a position of strength right now, and I think given our ample liquidity and our various sources of financing, that really does allow us to take advantage of right now which actually is a very attractive lending market.  And just even in the past, you know since the quarter began for example, we basically have about $123 million of new financings in the queue, one of which is closed, the other of which is under term sheets. So in terms of kind of like playing offense, we are definitely out there quoting and taking advantage of what we think is a pretty attractive lending market. 
Steve Delaney: And very interesting to hear you comment on A-notes. I don't recall hearing any of your peers mentioning – you know they are seeing your participations, and obviously it's a product that's been out in the market forever. But it's interesting and I guess you know banks are certainly part of that I guess as well maybe as insurance companies. But is the current sort of the resetting of interest rate levels, is this a matter of absolute return, being so much more attractive on an A-note today than it was before the feds started tightening.
Doug Bouquard: Yeah, I mean I think as we – if I could kind of loosely bucket our, I'll call it the three main sources of financing liquidity; that being A-notes, our existing secured credit facilities and then CRE CLOs generally speaking. Right now, the most attractive area for us from a borrowing perspective is likely within the A-note market.  We actually formed some new relationships over the past two quarters with some banks that are again, generally speaking is where we are finding that the sort of best available rates is within that bank market. I think that's really driven by two reasons. One is, you know the direct lending market has slowed, and then number two, banks are generally under certain amounts of capital pressure, and in these instances of an A-note financing with us, they view it as a way for them to still deploy capital at attractive terms, but not be the direct lender, but rather be a lender to a lender.  So I think part of that is you know, a bit of risk aversion on the side of the banks. But then as we sort of like work our way to the other buckets, we still have ample capacity within our existing secure credit facilities. And then on the CRE CLO market, which is I think very transparent in terms of where cost of funds are, that's probably the least attractive path right now in terms of public CRE CLO executions. But you know what we have done and what we did execute in Q3 of ’22 was what we would describe as a private CRE CLO, where we basically had a bank provided financing that I would say has CRE CLO like structural enhancements, but technically it’s just in the form of a loan.  But again I would say, we – you know, I highlighted in our remarks that we've been able to find liquidity really in all three of those. You know the first that I mentioned was, which  again is a huge advantage for us, is that we still have reinvestment capacity within two of our three CRE CLOs, and again that – and like – that's what allows us to be out there. I would say actively quoting, knowing that on the back end we really have a variety of options in terms of available financing. 
Steve Delaney: That's great color on financing and DA notes. Thank you very much. I appreciate it. 
A - Doug Bouquard: Sure, thank you. 
Operator: Thank you. We’ll take the next question from the line of Eric Hagen with BTIG. Please go ahead. 
Eric Hagen : Hey! Thanks, good morning. I hope you guys are well. A couple of follow-ups on the reserve and just the credit in general. Can you say how much of a general reserve you're holding against the risk rated four loans that are on the watch list? And I'm hoping that you can give some detail on a few of the larger risk four loans, like a few of the ones that you show on page 15 of the deck. Like how strong is the debt coverage in those assets currently? Like what are the conditions that have driven them to show up on that list? And what are the conditions that can get them to migrate to a five. Yeah, thanks. 
Doug Bouquard: Sure, so I’ll be providing some context, generally speaking on four and five rated loans as important, just given where we are in the economic cycle and then I'll turn it over to Bob to perhaps provide a little bit more context relative to your question.  But to speak generally, you know, four risk rated loans typically are assets where we either have some concern over the performance of the collateral or there could be a technical default, but the really overarching principle is that we don't view there to be a significant risk of principal loss, whereas within the five rated bucket is where we do acknowledge that there is risk of principal loss, and so I think those really are the two kind of guide posts.  In terms of trends, I think that it is worth highlighting that within the four rated population, just over the past three months, two of the four rated loans that we had actually paid off, and then a third of the four rated loans went to a five. So I think that's like a pretty good proxy for – you know fours are not necessarily earmarked as kind of headed towards the five, and recent data suggests that two of our last three four rated loans that were resolved is paid off in-part, and that was one hotel loan and that was one office loan, one of which that’s paid off in Q4 and the other which was just paid off in Q1. 
Doug Bouquard: Eric, with respect to your specific question, we don't disclose more to our peers with respect to the general reserve, individual reserve amounts per loan. But the pronouncement is in the guidance. It’s been drafted in that way. We pool loans in accordance with the guidance, and then establish reserves accordingly. So unfortunately, we can't provide to you that specific of an answer. But clearly, you can see what the reserves are with respect to the four specifically identified loans, not loan by loan, but in the aggregate, that’s clearly disclose. 
Eric Hagen : Okay. Yeah, that's helpful detail. I appreciate that. You guys mentioned the goal of reinvesting what comes back to you through repayments. Can you talk about how the current environment allows you to maybe negotiate better to loan terms than you were getting say a year ago. Like where would you see that show up in the kind of value of what you're putting on today? 
A - Doug Bouquard: Yes sure, I mean I think we’re just going to start from the top. I mean first of all, spreads, spreads are generally lighter and obviously it varies I would say by property type. To kind of bucket the loan in sort of two universes, I would say within multifamily and industrial is where we're generally seeing loan spreads approximately 75 to 100 basis points wider than a year ago. And then I think as you get into hotel, particularly you could probably see loan spreads over 100 to 150 basis points wider.  For example, we just closed a hotel loan in the beginning of the first quarter, which is priced at SOFR plus 5.10% at you know – and approximately 60% loan to cost loan. So new acquisition where we're getting paid SOFR 5.10% I think is relatively attractive. That loan probably would have been somewhere in the mid to high threes about a year ago. So that's sort of the common on spreads.  And then in terms of structure, the short version is that simply put, there's just fewer lenders competing for those loans, so we feel like we have more leverage to kind of gather more and more structural features, I would say specifically around cash flow triggers, debt yield triggers and really any other covenants is where we just have on the margin, more leverage to protect our balance sheet.  But again, I think its very case specific, but from a leverage perspective just I would sort of view it as you have – proceeds are down anywhere from 5% to 15%, and then loan spreads are probably wider, 100 to 150 bips. That's probably the simplest way to describe the current market. 
Eric Hagen : That's really helpful. That’s it for me, thank you. 
A - Doug Bouquard: Thank you, Eric. 
Operator: Thank you. We take our next question from the line of Aaron Seganovic with Citi. Please go ahead. 
Aaron Seganovic: Thanks. You had some loans still quite very matured in January and February. I apologize if you've already addressed this, but how are those moving there. I think like four and five rated loans. How are you handling those situations? 
Bob Foley: Well, we've had a couple of scheduled maturities as you can see in the mortgage schedule. We've had one office loan in Southern California, four rated, which we paid I think in earlier this month, in February. We had one or two loans that extended. The borrowers you know satisfied the conditions precedent to an extension, so they generally extend for a year.  And then we had one or two loans with shorter term extensions, where either the borrowers working on an exit strategy or we are working with the borrower in a collaborative, but commercially reasonable way to extend the loan, but again only on terms that it make sense for the company and its shareholders. 
Doug Bouquard: Yeah look, on that point you can probably look to the asset that was resolved in December, which Bob provided some context for during his remarks, as I think a very good proxy for our ability to asset manage in this market. You know that was an asset that ultimately when there’s default, we foreclosed. And relative to our carrying value of approximately $0.85, we ultimately covered approximately $0.95 through a sale to a local buyer.  So I point that out, because I think it really highlights number one, the sort of pace at which we resolve that loan; and then number two, obviously we were pleased at the relative resolution proceeds when compared to our carrying value. So I would sort of use that as a relatively good proxy for how we expect to be asset managing loans that sit within our five rate buckets. 
Aaron Seganovic: Okay, thanks. And then I guess with the extensions. What do the sponsors – generally do they put cash in or how do they achieve that kind of amendment? And then, I would suppose if that’s the case, then that would generally be a good sign that the sponsors are still willing to stick with the properties. 
Doug Bouquard: Yeah I mean, you know as I mentioned in my remarks, we are working collaboratively with all of our borrowers, and where I would say our sort of general approach has been modifying and extending – we're not going to give that out for free. That's almost always going to come with some amount of either pay-down and/or increase in terms of economics. So generally speaking, if we are going to be modifying and extending, we do want to see substantial equity coming in from the borrower to basically get our basis down and also show their commitment to the asset. 
Aaron Seganovic: Got it. All right, thank you. 
Bob Foley: And just - and that can take many forms. For example, for the year just ended, I think across the portfolio of all our borrowers infused roughly $200 million of fresh. Some in the form of principal payments, some replenishing interest reserves, some of it you know buying the caps that they are required to buy typically in our loans in order to extend them. So for the majority of the loans that are coming due, where we're seeing borrowers step up and support, but the form of that support is clearly situation specific. And frankly last thing, some loans borrowers just – you know they qualify for the extension by right and it extends. 
Aaron Seganovic: Okay, thank you. 
Doug Bouquard: Thank you. 
Operator: Thank you. We’ll take the next question from the line of Don Fandetti with Wells Fargo. Please go ahead. 
Don Fandetti: Yes, as you think about office, Doug or Bob, if there is – let's just say there's a soft landing. When do you think you'd have some sort of visibility on the risk of the office portfolio. Would it be sort of mid this year, you feel like you could kind of bracket the risk? Or is this a situation that is just going to play out over a year plus. 
Doug Bouquard: Yeah, I mean that's a great question and I think it really kind of goes back to our approach. We're solely focused on maximizing shareholder value. That may take the form of and again, that could be a modification, that could be a principal pay-down, that could be an extension, that could be a note sale, that could be foreclosing.  So the reason why I highlight that myriad of path is we're just solely focused on maximizing shareholder value. And I think from a timing perspective, we are I would say pursuing all of those paths with a general eye on the fact that our view is that office is more likely to not improve in the near term. So on the margin we are trying to move quickly, and that's why again, I would sort of go back to parts of the asset that we resolved in Q4 as I think a very good proxy for our ability to asset manage and the pace at which we do it. That was basically all kind of transpired within one quarter.  I do acknowledge that some assets may take longer than just within a quarter to resolve, but we're generally speaking, we've been I think very front footed relative to competitors, and I think that we will be able to quickly resolve while maximizing shareholder value. 
Don Fandetti: Got it. And the buyer of that office property, you had mentioned was a local buyer, what did they - what's their sort of business plan? What did they see that the other borrower was unable to execute on or handle? 
Doug Bouquard: Sorry, I shouldn't have been more clear, which is that the buyer itself has experienced across the U.S. and happened to know that market very well. But I would say the principal strategy for the buyer was just to focus on leasing up the space. I think the prior owner had frankly lost some momentum on that front, and this is a good example where you have a new buyer coming up $30 million, approximately $30 million of fresh cash equity behind us and with that cash equity infusion, they are basically focused on leasing up the remaining space in that office asset. 
Don Fandetti: Okay, thanks. 
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session, and I'd like to turn the floor back over to Doug Bouquard for closing comments. Over to you, sir. 
Doug Bouquard : Yes, again just wanted to thank everyone for taking the time this morning. And look forward to keeping you updated over the next few quarters. Thank you very much. 
Operator: Thank you. This concludes today's teleconference. You may disconnect your lines at this time. Thank you for your participation.